Operator: Good day and thank you for standing by. Welcome to the Acadian Timber Corp. Q3 2023 Analyst Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Susan Wood, Chief Financial Officer. Please go ahead.
Susan Wood: Thank you, operator. Good afternoon, everyone and welcome to Acadian Timber's third quarter conference call. With me on the call today is Adam Sheparski, Acadian's President and Chief Executive Officer. Before discussing Acadian's results, I'll first remind everyone that in discussing our third quarter financial and operating performance, the outlook for the remainder of 2023 and into 2024, in responding to your questions, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information on our known risk factors, I encourage you to review our news release and MD&A which are available on SEDAR and on our website at acadiantimber.com. I'll begin by outlining the financial and operational highlights for our third quarter ended September 30, 2023. Adam will then provide some additional comments and discuss our outlook for the remainder of the year. Acadian generated solid financial results for the quarter ended September 30, benefiting from continued stable regional demand and pricing for its products. Sales for the third quarter were $26.6 million compared to $23.6 million in the same quarter of 2022. Sales volume, excluding biomass, increased 13% compared to the prior year period. Weighted average selling price, excluding biomass, increased 1% year-over-year, benefiting from strong softwood, sawlog and pulpwood prices driven by solid demand, partially offset by decreased hardwood sawlog prices stemming from weakness in hardwood lumber pricing. Pricing for softwood sawlogs increased 5% compared to the prior year period, driven by stable demand, while hardwood sawlog pricing decreased 12% due to declines in end use markets. Demand was strong for softwood pulpwood, resulting in a pricing increase of 19% year-over-year. Hardwood pulpwood pricing increased 2% over the same period of 2022. Biomass prices were 25% lower due to unfavorable product and customer mix. Operating costs and expenses were $21.9 million during the third quarter compared to $19.2 million during the prior year period, reflecting higher sales volumes. Weighted average variable costs, excluding biomass, were consistent with the prior year period, with increased contractor rates being offset by lower fuel prices. Adjusted EBITDA was $4.9 million during the third quarter compared to $4.5 million in the prior year period, reflecting higher operating income and gain on sale of Timberlands. Adjusted EBITDA margin for the quarter was 18% compared to 19% in the prior year period. Net income for the third quarter totaled $6.4 million or $0.37 per share compared to $4.8 million or $0.29 per share in the same period of 2022. The increase in net income compared to the prior year period was primarily the result of higher operating income and noncash fair value adjustments as well as lower income tax expense. Acadian generated $4.3 million of free cash flow and declared dividends of $5 million to our shareholders during the third quarter or $0.29 per share. I'll now move into the third quarter results for our New Brunswick operations. Sales for New Brunswick in the third quarter were $22.8 million compared to $19.9 million during the prior year period. Sales volume, excluding biomass, increased by 15%, primarily due to increased contractor availability. With regards to softwood sawlogs and pulpwood, demand was strong with volumes 19% higher for sawlogs and 35% higher for pulpwood than the prior year period. New Brunswick pricing for softwood sawlogs and softwood pulpwood increased 8% and 26%, respectively, compared to the prior year period. Hardwood sawlog volumes in New Brunswick decreased 28%, while hardwood pulpwood volumes increased 9% compared to the prior year period as a result of a change in the harvest mix. Prices for hardwood sawlogs were 9% lower than the prior year period due to weakened end use markets, while prices for hardwood pulpwood were 3% higher than the prior year period due to strong demand. Operating costs and expenses were $17.5 million during the third quarter compared to $15.4 million in the prior year period, reflecting higher sales volumes. Weighted average variable costs, excluding biomass, were consistent with the prior year period, with increased contractor rates being offset by lower fuel prices. New Brunswick's adjusted EBITDA for the quarter was $5.5 million compared to $4.6 million in the prior year period and adjusted EBITDA margin was 24% compared to 23% in the prior year period, primarily as a result of higher operating income. Switching over to Maine. Sales from Maine during the third quarter totaled $3.8 million compared to $3.7 million in the prior year period. Sales volume, excluding biomass, increased 6%, reflecting increased contractor availability, partially offset by unfavorable weather conditions as compared to the same period in the prior year. Softwood sawlog volumes in Maine increased 5% as compared to the prior year period due to increased contractor capacity. In U.S. dollar terms, pricing for softwood sawlogs decreased only slightly by 4% compared to Q3 2022, reflecting stable demand for fewer export sales. Softwood pulpwood volumes were negligible during the quarter due to the shutdown of a key customer. Hardwood sawlog volumes were also negligible during the quarter but are typically modest in Maine. Hardwood pulpwood volumes increased 67% due to changes in harvest mix, although pricing decreased 9% in U.S. dollar terms due to market conditions. Operating costs and expenses for the third quarter were $3.9 million compared to $3.5 million during the same period in 2022, reflecting higher harvesting activity. Weighted average variable costs, excluding biomass, were consistent with the prior year period, again, with higher contractor rates offset by lower fuel prices. Adjusted EBITDA for the quarter was negative $0.1 million compared to positive $0.2 million in the prior year period as a result of lower operating income, more specifically the timing of land management costs. Adjusted EBITDA margin was negative 4% compared to 6% in the prior year period. With respect to Acadian's financial position at the end of the quarter, it remains strong, ending with a net liquidity position of $15.9 million, including funds available under our revolving credit facilities. With that, I'll now turn the call over to Adam.
Adam Sheparski: Thank you, Susan and good afternoon, everyone. As always, Acadian remains committed to health and safety as our number one priority. And during the third quarter, there were no recordable safety incidents among our employees or our contractors. We are very proud of all the hard work and dedication towards safety that is shown on a daily basis across the entire organization. As Susan mentioned, we experienced a solid third quarter. While excessive rainfall impacted operations in Maine, operating conditions were favorable in New Brunswick. Ongoing efforts from the operations team have resulted in increased contractor capacity and allowed us to continue to catch up on the volume shortfalls experienced earlier in the year. We now believe that this hard work has put us in a position to achieve similar total volumes experienced in fiscal 2022. As you know, the weather can play a significant role in our operations but Mother Nature seems to be cooperating so far in the fourth quarter. The current dynamics of the Northeast forestry sector resulted in stable pricing and demand during the third quarter. There remains some tension in the supply chain which supports the stability of our weighted average sales pricing and allows us to -- and allows for the recovery of the increased inflationary costs that we have experienced. Although we do not usually spend much time talking about our land sales, we have accumulated more than what has been experienced in recent years, the total proceeds of $670,000 recorded in the first 2 quarters of 2023 on the sale of approximately 20 acres of land. We will continue to evaluate the land base in both New Brunswick and Maine. And although we do not expect it to become a significant generator of cash flows for the business in the short term, we do believe that we will be able to continue to unlock potential in the future. A few comments on our carbon credit project. As we noted last quarter, the first 770,000 carbon credits associated with the project were registered in the American Carbon Registry on June 8, under the name, Anew - Katahdin Forestry. The team is currently working on the second reporting period which is expected to produce approximately 215,000 credits, with the third reporting period credits expected to be developed later in fiscal 2024, resulting in approximately 215,000 additional credits. We are in regular contact with our third-party developer and understand that volumes of carbon credit sales have slowed somewhat over the last couple of quarters as a result of a number of factors. However, pricing for voluntary improved forest management credits appears to be stable which we expect to bode well for a project like Acadian's. And as buyers gravitate toward quality, we remain optimistic with regards to the monetization of the first 770,000 credits. Turning to our outlook for the remainder of 2023 and into 2024, North American interest rates remain elevated and near-term pressure on the end use market persists. However, inflationary pressures have begun to show signs of easing and the consensus forecast for U.S. housing starts has risen to approximately 1.42 million starts in 2023. We remain confident that the stability of the Northeastern forestry sector combined with the long-term demand for new homes and repair and remodel activity will continue to support the demand for our products. Though labor markets remain tight, as I noted, we continued to experience increased contractor availability during the third quarter. Some challenges remain and management will continue to focus on further increasing our harvesting capacity through the remainder of the year and into 2024. In the short to medium term, inflation is expected to continue to impact our financial results through elevated contractor rates and fuel surcharges. Demand for Acadian sawlogs is mainly driven by regional supply and demand, meaning that the stable demand experienced during the first 3 quarters is expected to continue to the balance of 2023. Pricing for softwood sawtimber is expected to remain consistent for the remainder of the year. And although we have seen weaknesses in hardwood sawtimber pricing throughout the summer, they appear to have stabilized as we exited the quarter. Demand for hardware pulpwood is expected to remain steady and softwood pulpwood markets are expected to remain at the improved levels experienced to date in 2023. In summary, as we finish the year, we expect continued solid financial and operating performance. Progress made increasing contractor availability will benefit Acadian for the rest of 2023 and into the winter harvest season of 2024 and will remain a key focus. Acadian continues to benefit from a strong balance sheet, continued diversification of our markets and a highly capable team focused on strong financial and operating performance. As always, we will remain focused on merchandising our products to obtain the highest margins available and making improvements throughout the business to maximize cash flows from our existing Timberlands assets. We continue to explore opportunities to grow as demonstrated by our advancement into the carbon credit market, opportunistic land sales as evidenced year-to-date and exploring additional land use opportunities such as renewable energy and additional land leasing. With that, we are now available to take your questions. Operator?
Operator: [Operator Instructions] Our first question will come from Ariana Milin of CIBC Capital Markets.
Ariana Milin: I hope all is well. My first question relates to contractor availability. In the MD&A, you mentioned that you'll continue to focus on increasing harvesting capacity in Q4 and into 2024. Do you see regional contractor capacity reaching a ceiling at some point? And have you seen the rate at which you're able to increase capacity slow down at all?
Adam Sheparski: Two good questions. We've been working really hard at it. I think that as we move through the remainder of the fall of '23 and into 2024, I think there's still some availability there for us. Through a lot of hard work by the team here we've really been able to increase our understanding of the rates and what stresses our contractors. So we've been successful in increasing our capacity. Appreciate we're taking some of that from other people, so there will be some stress going forward. As far as the limit, I believe there probably is. At some point, there's going to be a limit but I do feel strongly that we're going to be able to achieve what we need to achieve from a contractor capacity to allow us to cut our full harvest moving forward. So as a large landowner, the stability that affords us and would afford a contractor, it makes it more attractive and now that we have a handle on our contractors and feeling very confident as we move forward.
Ariana Milin: Okay, that's helpful. And then with regard to hardwood lumber prices, you mentioned that you've seen prices start to stabilize there. Do you expect this to continue? Or do you still view further price decreases as a risk in the near term?
Adam Sheparski: Yes. And so there's hardwood lumber prices which obviously, end use, not our business but it has an impact on our customers. That's a tough one. We understand they're stabilizing. I don't think -- I'm not sure it can go much lower, to be honest, based on what we're hearing from our customers. Fortunately, for our business, the sawtimber business, we have a supply that is limited. And so -- and when I say supply, regional supply that is limited which has allowed us to keep our pricing pretty stable in relationship to the prices of lumber and hardwood lumber, in particular. So we're feeling pretty confident that our prices have stabilized inside of Acadian moving forward. And now the business will be to make sure that we start increasing that as the price of lumber starts to increase in the future.
Operator: [Operator Instructions] And I would now like to turn the conference back to Adam for closing remarks.
Adam Sheparski: Thank you, operator. On behalf of the Board and management of Acadian, I would like to thank all of our shareholders for their ongoing support. Thank you, stay safe and we look forward to you joining us for our fourth quarter conference call on February 8. Goodbye.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.